Operator: Good afternoon, ladies and gentlemen. Welcome to TD Bank Group Q2 2017 Conference Call. Please be advised that this call is being recorded. I would like to turn the meeting over to Ms. Gillian Manning, Head of Investor Relations. Please go ahead.
Gillian Manning: Thank you. Good afternoon and welcome to TD Bank Group’s second quarter 2017 investor presentation. My name is Gillian Manning and I’m the Head of Investor Relations at the Bank. We will begin today’s presentation with remarks from Bharat Masrani, the Bank’s CEO, after which Riaz Ahmed, the Bank’s CFO, will present our second quarter operating results. Mark Chauvin, Chief Risk Officer, will then offer comments on credit quality, after which we will invite questions from prequalified analysts and investors on the phone. Also present today to answer your questions are Teri Currie, Group Head, Canadian Personal Banking; Mike Pedersen, Group Head, U.S. Banking; Greg Braca, Chief Operating Officer, U.S. Banking; and Bob Dorrance, Group Head, Wholesale Banking. Please turn to Slide 2. At this time, I would like to caution our listeners that this presentation contains forward-looking statements, that there are risks that actual results could differ materially from what is discussed and that certain material factors or assumptions that were applied in making these forward-looking statements. Any forward-looking statements contained in this presentation represent the views of management and are presented for the purpose of assisting the Bank’s shareholders and analysts in understanding the Bank’s financial position, objectives and priorities and anticipated financial performance. Forward-looking statements may not be appropriate for other purposes. I would also like to remind listeners that the Bank uses non-GAAP financial measures to arrive at adjusted results to assess each of its businesses and to measure overall Bank performance. The Bank believes that adjusted results provide readers with a better understanding of how management views the Bank’s performance. Bharat will be referring to adjusted results in his remarks. Additional information on items of note, the Bank’s reported results and factors and assumptions related to forward-looking information are all available in our Q2 2017 report to shareholders. With that, let me turn the presentation over to Bharat.
Bharat Masrani: Thank you, Gillian, and thank you everyone for joining us today. TD delivered a strong performance in the second quarter with net income and earnings up -- earnings per share up, both up 12% to $2.6 billion and a $1.34 respectively. Our results reflect strong revenue growth lower credit provisions and good expense management across our businesses with the standout performance by our U.S. retail bank. Our capital and liquidity metrics are equally robust. TD CET1 ratio ended the quarter at 10.8%, down less than 10 basis points even after the completion of 15 million shares buyback in the quarter, and our leverage and liquidity coverage ratio remain strong. I'm very pleased with our performance so far this year. We have maintained our focus on growing profitable client centric businesses. We have benefited from favorable financial market conditions, which have boosted activity in our wealth and wholesale businesses and increased margins on our sizable core deposit base, and we are making good progress on the business and strategic objectives we laid out at the start of the year. Let me now comment on each of our segments. Canadian retail net income rose to $1.6 billion this quarter, up 7% from a year ago. We had good revenue growth across our lending and fee base businesses and saw a decline in credit provisions. We continued to originate good risk adjusted loan volumes in the higher margin areas, we have prioritized including HELOC, commercial lending and business cards. We delivered strong growth in checking accounts, winning more of our customers trust and business and we had robust growth in savings and business deposits. We also continued innovating to improve the customer experience. In February, we launched an integrated digital experience that guides customers through the home buying process. We’ve seen 120,000 unique visitors since launch with 1,500 appointments and calls generated to our branches and mobile mortgage specialist. Our Wealth business performed very well again this quarter, generating 9% earnings growth and $11 billion in net asset growth, up 31% from a year ago with $2.8 billion in long-term fund sales. We continue to take share in our mutual fund and private wealth businesses. TD asset management was ranked the number one pension fund manager in Canada for the sixth year in a row according to Benefits Canada, and we drove innovative solutions in TD direct investing, in Q2, migrating clients to our new active trading platform. In our insurance business, earnings grew 5% and we introduce innovative new solutions here too. This quarter, we extended the platform enhancement we’re making by launching TD MyAdvantage, an app that helps customers save money on car insurance by encouraging them to develop safer driving habits. Take up has been very strong with early results exceeding expectations. Customers love the way the app gives them timely advice and a driving score after each trip, so they can lower their premier by becoming better drivers. Overall, I'm pleased with our progress in Canadian retail. We’ve made disciplined choices about where to grow and invest. We’ve introduced changes to improve our advisory and distribution capabilities and are now -- that are now bearing fruit. And we are seeing increase momentum in many of our businesses. These positives strides reflect good execution and a continued focus on our long-term objectives. Before I wrap up with Canadian Retail, I would like to address two issues of interest to all of you. First, with respect to Air Canada’s announcement earlier this month that it does not intend to renew its Aeroplan partnership with Aimia in 2020. Let me reiterate that it is business as usual with TD Aeroplan credit card customers at this time. Air Canada has stated that Aeroplan members can continue to earn and redeem miles until June 2020. And that it expects to make Air Canada flights available for Aeroplan redemption beyond 2020. Aeroplan has stated -- has a stated objective of ensuring that its members retained access to strong redemption offering around air rewards in the future, and for our part, we're committed to ensuring that our customers continue to be well served with our market leadership position in the credit card space and our compelling suite of other cards including first-class travel and new cards we're launching in June. I'm confident that we can continue to offer a strong value proposition and help our customers meet their goals. Second, at our Annual Meeting a few months ago, I spoke to shareholders about negative assertions by some media regarding sales practices at TD and in the industry. I told them that we were hearing -- that we were hearing, what we were hearing was not our TD and did not reflect the experience of most of our employees. I also said we will review the concerns that were raised. We've largely completed the assessment with respect to Canadian Personal Banking and pleased to say that my view remains the same. I value the assessment and there're some ways that we can continue to improve. I also want to take this opportunity to thank our employees. I recognized that this period has been difficult for them. Our business results speak for themselves. Our people have continued to outperform. Our premier retail model remains intact and we'll continue to win with customers by having the best employees. Now shifting to our U.S. business, U.S. Retail Bank earnings were $554 million in the quarter, up 21% from last year. Revenue growth was strong again at 10% reflecting good volume growth, higher deposit margins and rising fee income. Provision for credit losses declined from Q1 and also fell year-over-year. Expense growth was 2% resulting in 750 basis points of operating leverage and reported segment ROE rose to a new high of 10%. As I reflect on the performance of our U.S. business, the benefits of our customer centric model have never been more evident. We continue to gain market share and outgrow our peers while remaining within our risk appetite. Our deposit rich balance sheet gives us significant upside to higher rates and with our franchise still relatively young, we've a meaningful opportunity to strengthen and deepen customer relationships. We will continue to invest to support that growth including moving forward with the digitization of our distribution strategy. Our latest innovation this quarter is Send Money, a person-to-person platform we launched by joining the new P2P payments network that includes the top U.S. banks. TD is the first issuer to market providing this newly developed user experience, a capability that will give us access to a significant share of U.S. checking account customers via instant transfers. It's an exciting step forward for our U.S. retail business. I couldn’t be more pleased with this performance and the contribution it is making to advancing our strategy of becoming a premier North American retail bank. Turning to our Wholesale Bank, net income was $248 million this quarter, up 13% from a year ago. Segment revenue increased 7% driven by higher corporate lending fees and client activity in our equity trading business. We also continue to make investments to build our U.S. dollar business, adding people to our investment banking, debt-to-capital market and trading teams and enhancing our product offerings. TD Securities acted on several notable deals in the quarter. We served a sole underwriter and bookrunner for Canadian Natural Resources on its $11.1 billion acquisition of Royal Dutch Shell’s oil sands assets. The largest sold E&P bank underwriting in Canadian history. We were joint bookrunner on AltaGas’ 2.6 billion subscription receipts offering to partially funds its purchase of WGL Holdings in the U.S., a cross-border transaction that required a coordinated multi-product solution including M&A advisory, equity, credit and high-yield capabilities. And we will joint bookrunner on General Motors financials $3 billion senior notes offering. Overall, Q2 was another good quarter both for our wholesale bank and for TD as a whole. Together with the strong performance we delivered in the first quarter, total bank earnings are up 13% year-to-date and EPS is up 12%. These impressive results speak to the power of our diversified business mix as well as our ability to execute with excellence and its rapidly changing environment. Business and market conditions may fluctuate, but our focus will not waver. We remain committed to driving profitable risk adjusted organic growth, continue to adopt and innovate and supporting our clients and customers in achieving these financial goals. To wrap up, I’m very pleased with our first half results. I’m confident in our strategy, proud of the hard work and dedication of our people, and excited about what we can accomplish in the months ahead. With that, I will pass it over to Riaz.
Riaz Ahmed: Thank you, Bharat. Good afternoon, everybody. Please turn to Slide 4. This quarter, the Bank reported earnings of CAD2.5 billion and EPS of CAD1.31. Adjusted earnings were CAD2.6 billion, and adjusted EPS CAD1.34, both up 12% year-over-year. Revenue increased 3% reflecting retail loan and deposit growth, higher deposit margins in the U.S. and higher fee-based income related to wealth asset growth and corporate lending. On a taxable equivalent basis, revenue increased 7%. We had higher than usual tax-exempt dividend income this quarter, due to increased client equity in equity trading, which also resulted in the lower tax rate. Expenses increased 1%, adjusted expenses increased 4%, primarily reflecting investments in technology and business initiatives and higher employee related expenses including variable compensation. Credit losses from quarter-over-quarter and year-over-year and results are strong across all of our segments. Please turn to Slide 5. Canadian Retail segment net income was CAD1.6 billion, up 7% year-over-year, reflecting volume and fee driven growth and lower credit losses. Earnings increased across all of our businesses personal banking, business banking, wealth and insurance generating attractive ROE. Total loan growth was 4% year-over-year with increases in personal lending and business lending volumes. Deposit increased by 11% reflecting growth in core checking and savings accounts and business deposits. And wealth assets grew 12%. Margin was 2.81%, down 1 basis point quarter-over-quarter. We continue to expect moderate downward pressure on margins for the rest of the year. PCL declined by CAD34 million quarter-over-quarter due to lower provisions in auto lending and by CAD27 million year-over-year due to lower provisions in auto lending, card and personal lending. Annualize PCL as a percentage of credit volume was 26 basis points, a decrease of 4 basis points year-over-year. Expense increases year-over-year reflected higher employee related expenses including revenue base variable expense growth in the wealth business, higher investment and the strategic technology and ditch diversion initiatives and enhancements to our products. Please turn to Slide 6. U.S. Retail net income was $636 million or CAD845 million, both up 18% year-over-year. The U.S. Retail Bank, earned U.S. $554 million, up 21% year-over-year. The strong results was driven by 10% revenue growth, reflecting higher loan and deposit volumes, higher deposit margins and fee income growth as well as lower credit losses and well managed expenses. Total loan growth of 6% and deposits increased by 9% both reflecting growth in personal and business customer segments. Net interest margin was 3.05% up 2 basis points quarter-over-quarter. The increase reflects stable loan margins and a 6 basis points increase in deposit margins, partially offset by balance sheet mix as deposits outpace loan growth. Deposit growth reflects strong customer acquisition and higher balances and contributes to net interest income growth, but when it outpaces loan growth it has the effect of dampening NIMs in our case, as excess deposits are invested in high quality, lower yielding securities. While many factors affect margins, we expect continued improvement with further U.S. rating increasing. PCL decreased 41% quarter-over-quarter primarily reflecting seasonal decreases in the credit cards and auto lending portfolios. And PCL decreased 7% year-over-year as higher personal banking provisions are more than offset by lower business banking provision. Expenses increased 2% year-over-year reflecting volume growth and higher employer cost and higher FDIC charges all partially offset by productivity saving. Earnings from our ownership stake in TD Ameritrade increased 5% year-over-year, and as Bharat mentioned earlier, we are very pleased to have achieved a segment ROE of 10% this quarter. Please turn to Slide 7. Net income for wholesale was CAD248 million up 13% year-over-year, reflecting higher revenue and a net recovery of credit losses, partially offset by higher non-interest expenses this quarter and the lower effective tax rate a year ago. Revenue increased 7% reflecting higher corporate lending fees and increased client activity in equity trading, partially offset by lower fixed income trading. PCL was a net recovery of CAD4 million, reflecting the recovery of specific provisions in the oil and gas sector. Non-interest expenses increased year-over-year reflecting continued investment in our U.S. dollar business including adding bankers, enhancing and e-trading capabilities and the impact of the Albert Fried acquisition. Please turn to Slide 8. The corporate segment posted an adjusted loss of a CAD102 million this quarter compared to a loss of CAD120 million in the same period last year. A smaller loss reflects a decrease in net corporate expenses year-over-year and an increase in the contribution from other items. The higher contribution from other items reflects provisions for incurred, but identified credit losses in the same quarter last year, and higher treasury revenues this quarter offset by higher expense provision this quarter and impact of certain tax items in the same quarter last year. Please turn to Slide 9, our common equity Tier 1 ratio was 10.8% at the end of second quarter relatively flat to Q1 2017. We had strong organic capital generation this quarter and completed our previously announced normal course issuer bid repurchasing 50 million shares. Our leverage and liquidity ratios are consistent with last quarter's level. I will now turn the call over to Mark.
Mark Chauvin: Thank you, Riaz, and good afternoon everyone. Please turn to Slide 10. Portfolio credit quality remains strong during the quarter as evidenced by reductions in gross impaired loan formations, gross impaired loans and credit losses. Gross impaired loan formations ended the quarter at CAD1.15 billion down a CAD127 million or 2 basis points, driven by reductions in Canadian commercial and indirect auto gross impaired formations. There were no new formations in the wholesale portfolio. Turning to Slide 11, gross impaired loans are down a CAD109 million or 4 basis points for the quarter at CAD3.29 billion. The reduction is attributed to resolutions, outpacing formations in the U.S. HELOC, U.S. Commercial and Canadian Retail portfolio offset by a CAD78 million negative impact of foreign exchange. Moving to Slide 12, as indicated in previous quarters, U.S. strategic card PCLs are reported on a net basis for segment reporting, including only the Bank's contractual portion of credit losses. For the purpose of the credit slides however, we continue to report gross losses to better reflect portfolio credit quality. Provisions for credit losses are down 7 basis points on both the quarter-over-quarter and year-over-year basis. For the quarter notable PCL trends by business segment are, Canadian Retail loss rates remain at cyclically low levels; further recoveries were recorded in the wholesale oil and gas segment with no new credit losses. Consistent with historical seasonal trends, U.S. credit card and U.S. auto portfolio losses reduced during the quarter, and U.S. commercial credit losses reduced. To conclude, the key takeaways this quarter are credit quality remains strong across the Bank's portfolios and we remain well positioned for continued quality loan growth. With that, operator, we're now ready to begin the question-and-answer session.
Operator: Thank you. [Operator Instructions] And we'll take our first question from John Aiken from Barclays.
John Aiken: Riaz, just diving into the ROE on the U.S. segment, taking a look, we had earnings year-over-year growing by 70% does look like the risk weight assets have shown some strong growth. The average common equity in the group really hasn’t seen the same level of growth. Can you remind me how the equity is allocated or across the segments into the U.S. retail in particular?
Riaz Ahmed: John, the risk weights are allocated in accordance with regulatory requirements. So, you’ll remember that for U.S. retail, we are AIRB approved, and for non-retail, we follow the standardized methodology and that’s the basis on which the capital is allocated to the segment John.
Mike Pedersen: John, it’s Mike. Am I just jump in and not miss the opportunity to tell you that, we don’t talk very much about ROE in the U.S., but something we’re very, very focused on and all of our efforts whether it’s expense management or acquiring more customers or deepening relationships, even a lot of efforts on capital optimization have obviously helped us to a better place overtime, but we will stay very focused on that going forward.
John Aiken: Thanks Mike. And that’s leading into, I guess my follow-on question with this focus on ROE and the improvements that we see. How does that impact the discussion about inorganic growth on a go forward basis on your platform?
Bharat Masrani: John, this is Bharat. We’ve said it many times that if the right compelling opportunity were to present itself, we look at it very seriously. Obviously, the cards space has been very attractive. The partnership deals that we’ve done and should similar deal present itself, we will look at it seriously. And I’ve also said previously that there were making type of these available particularly in the Southeast of the U.S. where and if it were helping us and accelerating our growth aspirations there. Then, those will be quite interesting for us. So, we’re not -- we don’t need to inorganically grow our franchise, we have the scale. We have the brand positioning and obviously the performance not to compel us to acquire, but should a compelling situation arise we look at it very seriously.
Operator: [Operator Instructions] We’ll go to our next question from Meny Grauman with Cormark Securities. Please go ahead.
Meny Grauman: The question I have is also about the U.S., good results in the U.S., but it seems like you’re able to buck some macro trends that we’re seeing across U.S. market including very strong commercial loan growth, even though we’re seeing the fed data point in another direction. We’re also hearing about credit issues and areas like credit cards and other loans. And I’m just wondering your perspective and how you’re able to avoid those negative trends? What’s different in your business that’s allowing you to put up these results and not seemingly show any of these signs of issues that seem to be going around you?
Mike Pedersen: So, Meny. It’s Mike. I think you're raising two issues, one is the issue of the loan volume growth and the other is credit quality. So, I'll just make a few comments and then I'm ask Greg Braca to comment on the loan volume issue, he's been responsible for both auto finance business and the corporate lending business where a lot of this -- which are lot of this pertains, and then Mark can cover the credit quality issue. So, just by virtue of context -- by way of context, we have said for the last few quarters that we might well see some tapering off of our loan growth and particularly in commercial and auto, and that is what has happened as we expected. We’re still outgrowing our peers, so I would also say that TD is always disciplined about its credit adjudication and that goes in good times and bad times and that’s helped us greatly over the years. But at this point, given where we are in the credit cycle, we’re being quite disciplined as well in our pricing, and if that means slightly lower volumes, that’s okay with us. Having said all of that, loan growth has moderated a bit, but we’re still outperforming. So, I'll just let Greg add some color and then Mark can take on the credit quality issue.
Greg Braca: So, thanks, Mike. As noted, we continue to still take share in aggregate in our lending business. And we’re quite bullish on our ability all things being equal going forward to continue to grow our loan portfolio. As Mike noted, we have been saying, we’ve had some very strong double-digit C&I growth for the last few years, and we’ve been calling out that down that as we start coming into our own natural size across very many industries and businesses. We would naturally see a slower growth in C&I on a relative percentage basis year-over-year, as well as in the auto business, we’ve also had double-digit growth and we said that we’re not going to chase volume for the sake of return of credit quality and you're seeing a moderation in the auto space there. In Q2, I would just also call out that Q1 and Q2 we’ve seen some slow down in general across all commercial markets, a couple of things have been going on higher interest rates, we’ve seen clients staying on the side lines or hitting the bond market and retiring bank debt that we’ve also seeing less CapEx spend. And in the U.S., we’ve decidedly seen a lot of our commercial clients sitting on the side lines for the last couple of quarters with a wait and see attitude with everything from decisions on taxes to infrastructure spend and the rules of the road in the U.S. with the new administration. So, notwithstanding all of that, and we continue to take share.
Mark Chauvin: And, Meny, on the side of the U.S. credit quality, I remain very comfortable with the overall quality throughout the portfolios. We always try to fall very discipline lending standards through a cycle and we really are avoiding the more volatile subprime categories, there is an any throughout portfolios. The expense of second quarter was very close to our expectations. As we sell given the seasonality nature of the cards and the indirect auto portfolio, you would expect to see decrease in Q2 which we saw. And also commercial loan losses in Q2 were very low. Now, I'm not looking for major increases, but you can’t have really lower losses for the extended period of time. So, I would look for the modest increase maybe in next quarter, but from a quality perspective I prefer to look at loss rates. And we’re really in the current economic environment and borrowing a significant change in that, we’re looking at the loss rates in the U.S., staying relatively consistent to what we’re seeing for the -- in this quarter and for the balance of the year.
Bharat Masrani: Meny, this is Bharat. Just to add to that, we’ve been talking about this for a few years now. The footprint we have in the U.S., the discipline that Mark, Greg and Mike talked about that we avoid certain sectors -- this has been the TD tradition and not going out of footprint lending, that's been a key component of our strategy as well and all those things combined to me franchise what it is, so yes if you're in the lending business once in a while you're going to take losses like any other bank but I'd like to think that we would continue to be on an outlier status given our stated strategy and now we're executing against them.
Operator: And we'll take our next question from Steve Theriault with Eight Capital. Please go ahead.
Steve Theriault: I had a question for Teri, but first just a follow-up, Riaz, you said in your opening remarks, you expect further NIM improvement in the U.S. with more fed rate hikes. So just want to make sure I understand that and the absence of additional hikes, so all of equal. Are you looking for the NIM to be flat or down with the mix changes, if deposits continue to grow faster than loans? Were there any benefits still left from the previous rate hikes over the last little bit?
Riaz Ahmed: There would be Steve some left from previous rate hikes, but I'd say there're absent further fed rate increases or steepening of yield curve that we would bump around where we're now with little bit of a positive bias.
Steve Theriault: And then for Teri, I was hoping you could speak to why a little bit why the HELOC books been grow considerably faster than the mortgage growth, I know they don't necessarily grow at the same pace but I remember times where the inverse was true but it's interesting that the mortgage growth is only 1% while the HELOCs continue to grow in the mid single-digit range, so I guess I'm wondering specifically if the HELOC growth is more draw down related versus origination related, any color there would be helpful?
Teri Currie: So, this is part of our stated strategy in terms of growing our products where we have an embedded growth opportunity, so we're quite pleased with the progress we're making. FlexLine is the better product for the right customer in terms of being more flexible, and it's also more profitable for us. We've been tilting our origination again for the right customers, so this is an origination story, at kind of almost 40% originations now in this category and so this is exactly aligned with our strategy, we're pleased with how it's performing.
Steve Theriault: Is that also a bit of tilting towards uninsured specifically or is that…
Teri Currie: Not necessarily, we've been improving the FlexLine product to allow it overtime to have the same characteristics and choices or our regular mortgage product.
Steve Theriault: And I guess what have you -- I thought I'd ask on Aeroplan, I remember when the transaction was done and I think it was 2014, that Aeroplan was expected to become more integrated with some of the other offerings, like deposit products and what not, maybe mortgage products. I know that was the initial intention, but I’d be curious to hear a little bit of how far that's gone. I've seen some promotional miles offerings, but I was hoping if you could give us a quick sense of how integrated the points program is in your product set? And if you expect any changes, no, Bharat said, there were changes for the card customers, but I'm wondering if you're thinking of any changes in terms of ancillary offering?
Teri Currie: Still for sure, no changes for our card customers, and in fact we’re feeling comfortable with our overall competitiveness of our current offering, both first class travel and Aeroplan give our customers in the travel category a very good choice. To your specific question around other uses, usage of the points, we’ve try some things and it’s been limited, and we don’t anticipate sort of any change going forward from what we’ve been doing historically.
Operator: And we’ll take our next question Nick Stogdill with Credit Suisse. Please go ahead.
Nick Stogdill: My question is also for Teri. Just on the expense growth this quarter, so we saw some improvement. I’m just wondering if pause of operating leverage in the full year is still a target for Canada.
Teri Currie: We absolutely continue to expect positive operating leverage for the full year. The expense levels to remain at this level and growth level to taper off through the year.
Nick Stogdill: Okay. Thank you. And then maybe for Mark, just on the auto lending in Canada. Is it really implemented in Western Canada that’s driving lower PCL and lower information?
Mark Chauvin: So Nick, I’d say, there is two major factors. One is an improvement in the oil impacted regions and that’s kind of working its way through the system. And other the factor and is equally prominent is that, it’s really improved collection strategies. We did have some operational issues as we brought things together. Last year that resulted in increase and we worked our way through those, and that’s what we’re seeing, that’s contributed to lower loss of the share.
Nick Stogdill: And then just a quick one, just an update on the Scottrade acquisition. Is that expected or can you refresh on that expected to close? And then when you announce that purchase, did you factor in higher rates since in the accretion outlook?
Bharat Masrani: So, this is Bharat, Nick. I think we have said, we expect the transaction to close somewhere in the fall timeline, that continues to be the case. And I’ll let Riaz to talk about what the assumptions we had made.
Riaz Ahmed: Yes. Nick, whenever we look at acquisitions or just general business planning, we look at a number of scenarios on interest rate fund. And so we look at everything on a flat rate basis, but also look at sensitivities for the impact for interest rate increases. So both, all the scenarios would have been considered in the acquisition.
Operator: And we’ll take our next question from Gabriel Dechaine with National Bank Financial. Please go ahead.
Gabriel Dechaine: I want to ask about the big TEB adjustment this quarter. I get that there is an adjustment to your tags, but also when you have a speed tax of trading activities, the negative revenue impact. But I’m just wondering, what happen this quarter to drive such a large amount of TEB revenue? We see in the tax reconciliation of the big $307 million dividend receive figure in there. What -- and that the root of my question, how repeatable is that the performance because you call it out as this higher than usual equity training activity?
Riaz Ahmed: Yes. I think, you should think a bit about it just in the ordinary course of all kind of client activities. So sometimes this kind of activity is elevated, other times underwriting is elevated, otherwise M&A -- other times M&A is elevated, it’s all client driven and a function of what the client flow looks like.
Gabriel Dechaine: But there was an anything in particular that you call out that the boost of this activity?
Riaz Ahmed: No, I think it is simply client demand activity. So, clients are active as what I’d like to call out.
Gabriel Dechaine: Okay. Then on Page 1 of your supplement and I mean I’ve never really looked at this the Page 1. But, slide – sorry, line 35, we see the after tax impact of a 1% increase in interest rate. I was just wondering, is that 67 million and it’s down quite a bit since 2015. Is that a number? They are big caveat there and I know some interest rate disclosures have major caveat to pass them. Should I really be using this number for some indication of your rate sensitivity?
Riaz Ahmed: I think if you look at the MD&A, Gab. We’ve described the net interest income sensitivity in a bit more detail, and it is a risk management measure rather than a way of looking at margin or NII upside. So, what -- when I say, it’s a risk management measure, what I mean is that, it is calculated in relation to a target duration profile, and while that all sounds very technical, I’d be happy to walk you through their technicality offline as to what the differences are.
Gabriel Dechaine: Maybe just shorten duration I guess is that?
Riaz Ahmed: Yes, the MD&A gives you full disclosure of how that calculation is arrived at and what it means. So, maybe for the purpose of the call, I might just leave at that and happy to take you through it separately.
Gabriel Dechaine: Last one here about the -- you did call out the deposit margins expanding. Are we still on the situation where a lot of these higher deposit margins have not been passed on to consumers? And also before I forget, Mike Pedersen, I think this is your last call, good luck in the future and miss talking to you.
Mike Pedersen: Thanks, Gab. Pardon me?
Gabriel Dechaine: I don’t want to get patriot here so let’s…
Mike Pedersen: All right, I'm sure you won’t, but thank you. So, I would say that we are gradually as each rate Fed rate increase transpires, seeing a higher deposit beta. So, it was a little higher as a result of the December 2016 increase than it was in December 2015, but it's still well below what you might consider as normal betas on the basis of historical presidents. My expectation would be that it will continue to rise, but it's been fairly low and most banks I think would say, it's been in teens, low 20s kind of stuff until now, but it should rise going forward.
Gabriel Dechaine: Sorry, teens, low 20s what's that in relation to?
Mike Pedersen: The beta percent.
Operator: And we’ll take our next question from Sumit Malhotra with Scotia Capital.
Sumit Malhotra: First question is on the insurance business. Strong contribution earnings wise this quarter and we know that business has been somewhat lumpy at times. Just wondering, if there was any update from the Bank in relation to some of the weather activity that we’ve heard about in the last few weeks? And whether you have any comments as to how that may affect results in the second half of the year?
Teri Currie: Sumit, it’s Teri. So, obviously, the flooding didn't impact Q2 given it happened after quarter end. We expect a minimal impact that's partly driven by just our share in the impacted area, relative to others, and so not a significant an exposure and so let's probably leave it at that.
Sumit Malhotra: So, nothing that we'll notice more than the usual volatility in this business?
Teri Currie: No, not from what we know today.
Sumit Malhotra: And then Teri over to you, a couple of questions, for the Canadian P&C business specifically away from wealth and insurance, obviously Bharat mentioned in his opening comments, a lot of let's say, unflattering headlines for the business, a few months back. But if I did know about any of that, if I just look at the results here today, certainly wouldn't have any indication that there was anything negative being said of other the Bank and that there was customer retrenchment in any form. So to put this to you in a couple of ways, when we look at revenue in this business, are you of the view that there has been or will be any kind of step back in revenue growth as a result of what we heard about? And secondly maybe very unrelated to this, we usually do see consumer loan growth book better for TD and all of the Canadian banks for the second half of the year along with the pickup in real estate activity. Is that seasonal strength in your view likely to be less so this year as a result of recent changes specifically in the Toronto market?
Teri Currie: So, on your first question, pleased in fact that we've had such strong revenue growth and continued that trend from Q1, and I think that speaks words off in terms of your question around our results been impacted or do we expect them to be impacted in a good business deposit growth, core checking acquisition at record level, strong total personal deposit growth, feeling good about business lending and unsecured lending, which will get at your second question. Really again taking advantage of those opportunities, we had outlined where we have embedded growth opportunity and you’ve seen that in business credit card and unsecured lending, in mutual funds and in FlexLine as I talked about earlier. If we think from a revenue and growth standpoint, we would feel good about the guidance we've given you before and would continue to expect to meet that guidance. On your second question around lending growth, we would still be in a place where we from a year-over-year perspective would expect proprietary lending growth to be in the mid-single digits. So, notwithstanding Ontario for housing or anything you've been reading in the media, while it's early to tell, our experience is formed by GDA and the fact that market in Ontario where the Greater Golden Horseshoe is fairly tight from a listing to sale perspective. I think our guidance still stands.
Sumit Malhotra: So, I'll leave it here, you mentioned GDA, you've obviously you gave us provincial disclosure. Looking at, at high level data, we did see sales decline relatively sharply in Vancouver for about six month period, before we've seen a pickup off late. Is that or I'll wrap it up here, did you see your lending volumes in Vancouver after the implementation of the tax pair back? And is that the expectation that you for Toronto in the near term?
Teri Currie: So, in GDA particular, so in both kind of higher growth market you mentioned, we have been under index relative to the competition. And so, I wouldn’t necessarily point to this specific policy changes as an issue for us. And that’s been purposeful in terms of some of the tightening to policies. We, as Mark mentioned have risk policy that we pay attention to recycle, and so that resulted in some under index growth. As it relates to the Greater Golden Horseshoe, we’re not sure obviously because it’s fairly days, and they were multiple measures that we announced. But given the tightness of the market, you might anticipate that it wouldn’t be as longer period of delay.
Operator: [Operator Instructions] We’ll take our next question from Sohrab Movahedi with BMO Capital Markets. Please go ahead.
Sohrab Movahedi: Mike, the U.S. year-to-date, U.S. Retail year-to-date expense growth, you’ve been able to keep it at looks to be like under a 4%. Is that a sustainable trend line as you look into next year?
Mike Pedersen: Yes. So I think that’s right, I think year-to-date it’s been an about 3.5, that was 5 in the first half or first quarter or 2 in the second quarter. I would say that’s a reasonably good guide based on what we see right now in terms of the rest of the year. I’d say it’s a little early to comment on next year. I would just say those that we have a strong focus on productivity and Greg and I have talk about that and he is sure that he is going to continue that. So that will continue to be a focus in the business.
Sohrab Movahedi: Okay. And what sort of stuff may impact next year that makes a little bit more difficult to kind of commit to the growth rate?
Mike Pedersen: Well, we are always focused on creating operating leverage and investing in the business for the future. And we, I think it’s fair to say operate in a very uncertain environment in the U.S. right now. So, that alone could dictate of the pace at which we invest and where we invest, but we also have a competitive environment that is evolving very quickly in terms of digital disruption and so on. And when you’re looking out six quarters as you’re asking me to that a long-time in today’s reality, and I’m just reluctant to predict what our expenses will be that many quarters in advance. Again, I’d day there has been a strong focus on expense management and every indication I have is that will continue.
Sohrab Movahedi: Perfect. Sorry, I didn’t mean to push on it, I just wanted to see if there is something. I mean, I guess is the Scottrade Bank addition, will it have any negative implications here from an expense or operating leverage perspective?
Mike Pedersen: That’s not something that I would consider in that respect.
Operator: And we’ll take our next question from Darko Mihelic with RBC Capital Markets. Go ahead.
Darko Mihelic: Just a real quick one for Teri, with the review now over of your sales practices, maybe can you just touch on employee engagement and customer service scores and whether or not there is been sort of change there?
Teri Currie: Absolutely, so, I'm pleased to say that we continuously each year monitor our overall employee engagement and having recently received those results, they were very strong in fact up in branch banking in Canada this year. So, I think that’s a good reflection of the private and people are feeling. I can also tell you having spent a lot of time in all of our markets across the country and branches and focus group with employees that they do not believe that what was portrayed in the media has anything to do with what they do each and every day helping our customers. They are proud TD Bankers who work hard to help our customers’ dreams come true. So, I would say motivation is good and we have some proof to back that up. And I'm sorry you had a second part to your question, customer experience. Customer experience level is not something that we report externally, but I can tell you that I think our business growth would indicate that our customers are engaged with us in a significant way as they were pre any of this attention.
Darko Mihelic: Okay. So, at the end it has been really good outcome for TD, no change to employee kind of compensation schemes. We should expect that really this business as usual, and that I'm bit surprised that I mean were there anything suspect from a system’s point of you that would need to be address as a result of the first review?
Teri Currie: So, now you're asking me a different question. So, let me just say having gone through the review, as we would was kind of any review that we do, there are things that we learned that we can improve upon, and we’ll be acting on those kinds of things. There is nothing I would say relative to our overall framework that I would holdout as part of that. But some kinds of examples would be improving training for particularly first line management and ensuring they have the coaching that they need and the mechanisms that we hear what they have to say. But overall, again the assessment reinforced what we thought going in, and we’re pleased that will be a better business as a result of having spent more time listening to our people and our customers through this period.
Operator: At this time, I would like to turn the call back to Mr. Bharat Masrani. Please go ahead for closing remarks.
Bharat Masrani: Thank you, operator. I am very pleased with the results as you know the numbers can do the talking here, and I want to take this opportunity to thank all the TD Bankers around the world, they continue to deliver for our shareholders on an ongoing basis. And I’d also like to take this opportunity as somebody mentioned on the call. This is Mike's final earnings call. So, Mike on behalf of all your colleagues at TD and I know I'm talking on behalf of the folks on the phone as well, thank you for all your efforts, we wish you the very best in your retirement.
Mike Pedersen: Thank you.
Bharat Masrani: And Greg, I think he set to you up for expenses and revenues and all that. So, welcome. Thanks very much operator.
Operator: This concludes today’s call. Thank you for your participation. You may now disconnect.